Till Leisner: Thank you, Sandra, and good morning, everyone, and welcome. It's a pleasure to see so many of you here again in Zurich at the Metropol. I'd also like to extend a very warm welcome to all of the participants joining via our live webcast. It's great to have the opportunity to connect with such a broad audience across the globe. I'm Till Leisner, Head of Investor Relations, and I'm delighted to be joined today by our CFO, Ido Wallach; and our CEO, Stefan Butz. Before we begin, the general reminder to look at the presentation and the including disclaimer, which you find on our web page in the Investor Relations section. For those who are attending virtually, again, you find that on the web page at dksh.com. With that short introduction, I'm very happy to see all of you again, and I hand over to Stefan to get us started. Thank you so much.
Stefan Butz: Thank you very much, Till. Hello, everyone. Good morning, and welcome to the presentation of our 2025 full year results. Joining me here today is our CFO, Ido, as well as our Investor and Media Relations team. As today marks the first day of the Chinese New Year, I wish especially all our Asian colleagues a Happy Lunar New Year. So today's agenda foresees a short recap of our highlights of the past year. I will then continue with a review of the business units in 2025. After that, Ido will follow up with a more detailed financial update. And to conclude, I will provide an outlook before we then open the Q&A session. We are very pleased to report that DKSH achieved another year of improved results with an even better acceleration of growth in the second half of 2025. We continue to translate our strategy into consistent execution in 2025, delivering growth, increased margin and high cash generation in a muted market environment. As in previous year, I will primarily be commenting on our results using constant exchange rates as this better shows the operational performance and ensures better comparability with previous years or results. Despite a very challenging environment, net sales increased by 2.9% at constant exchange rates to CHF 11.1 billion in 2025. In the second half of the year, net sales grew even faster at 3.6% with a pickup in growth in the business units Healthcare and Consumer Goods, thereby achieving GDP growth. Core EBIT amounted to CHF 349 million, 6.7% higher than in 2024. Core EBIT margin increased from 3.1% to 3.2%, in line with our midterm goal to expand core EBIT margins by at least 10 basis points year-on-year on average. In the second half of 2025, we delivered improved profitability with a core EBIT increase of 8.1% faster than the first half of the year. Our free cash flow remained high at CHF 215.5 million with a cash conversion of 95.2%. This marks the sixth year where we achieved a cash conversion above our target of 90%. We also delivered on our midterm road map regarding capital allocation as we announced 9 accretive M&A transactions in 2025 and proposed to increase the ordinary dividend by 6.4%, which corresponds to CHF 2.50 per share. This resilient performance in challenging times once again demonstrates DKSH ability to consistently create value for our clients, customers, employees and shareholders. Based on the acceleration of growth in the second half of 2025, we will continue to deliver on our midterm road map in 2026, driven by our focused strategy execution and resilient business model. Let me now focus on the highlights of 2025. We executed our accelerated M&A strategy and announced 9 transactions across the business units, Technology, Performance Materials and Consumer Goods in various markets. We continue to drive our business development by enlarging our client portfolio across all BUs and various markets. We signed a strategic partnership with Bayer for their pharma business in Singapore, Malaysia, Thailand and in the Philippines. In Singapore, we began collaborations with Eli Lilly, started working with Nestle in Malaysia, Thermo Fisher in Japan and Polygal in Europe and the United States. Additional highlights include the achievement with respect to our high-performance culture. Being recognized as a great place to work in even more markets and as one of the Fortune 100 best companies to work for in Southeast Asia 2025 highlights our continuous ambition to create an excellent work environment. We remain committed to talent development and diversity as reflected in our representation of women in leadership roles. We achieved several milestones in our sustainability efforts. We have been recognized as an industry leader in the ISS ESG Corporate Rating 2025. The science-based target initiative validated our targets, and we are on track to achieve net 0 greenhouse gas emissions across the value chain by 2050, having already reduced our CO2 emissions by 65%. With these achievements across multiple areas, we demonstrate our diligent strategy execution and commitment to creating value for our clients and customers in Asia, Europe and North America. We also create sustainable value by implementing AI initiatives across all our business units in key areas such as M&A, finance, IT and supply chain management. To support these efforts, we have established a dedicated team. AI acts as an enabling factor that seamlessly integrates with our existing processes by continuously leveraging our extensive data resource through AI we create additional opportunities for growth and enhanced operational efficiency. AI on the one hand, enhances demand forecasting or optimizes pricing, which drives top line growth. On the other hand, AI enhances our operational efficiency. For example, in our consumer goods business unit, we utilize a modular commercial excellence AI platform. This enables us to perform forecasting and segmentation, gain additional customer insights, obtain route optimization data and plan shelf layouts more efficiently -- effectively sorry. As a result, we achieved sales force excellence through increased customer revenue, improved client acquisition and retention and optimized cost to serve. Our business benefits from high entry barriers. By leveraging our strong sales force, extensive distribution network and robust cash collection processes together with advanced AI initiatives, we further evaluate these entry barriers, giving larger distributors like us the competitive edge. As in previous years, we continue to invest our capital in business with above average margins. We follow an accelerated high-impact M&A strategy backed by leverage headroom for approximately 2x net debt to EBITDA. Last year, we explored major transactions that ultimately did not materialize. Despite the volatile M&A environment, we announced 9 transactions surpassing the average number closed annually in previous year. Over the past 6 years, we accelerated our M&A activity as we have more than doubled the number of transactions. From 2012 to 2019, we completed 16 acquisitions whereas between 2019 and 2025, the total rose to 35%. As a result of these acquisitions made in 2025 and our existing deal pipeline for 2026, we expect increasing EBIT contributions from M&A in 2026. Looking ahead, our strong balance sheet allows us to pursue a wide range of strategic options. We remain committed to accelerating our M&A strategy, including the potential for expansion beyond Asia Pacific in our Business Unit Performance Materials, Healthcare and Technology. Our strong cash generation not only allows us to accelerate our M&A activity but also to continue our progressive dividend policy. Therefore, our Board proposes an increase of the ordinary dividend to CHF 2.50 per share, which is equivalent to a growth of 6.4%. For U.S.-based investors, this represents an increase in dividends, by the way, of more than 25%. This proposal marks our 13th consecutive year of dividend increase confirming our dividend aristocrat status. Notably, our ordinary dividend per share has achieved an average growth of 5.1% in the last 5 years. Let me now provide you with an update on the progress in our business units, starting with Healthcare. Our largest business unit, Healthcare, maintained its track record of profitable growth in 2025. We continued our development above GDP grades as net sales increased by 4.6% to CHF 5.8 billion. especially in the second half of the year, we accelerated organic growth. Core EBIT achieved CHF 174.2 million with a core EBIT margin of 3%, an improvement compared to the previous year. This marks the fourth consecutive year of margin increase on our full year results. These strong results were driven by broad-based growth across multiple markets and by new, as well as existing clients. We entered new partnerships with notable companies like Bayer, Eli Lilly, Reckitt, et cetera. Patrick Grande, a well-seasoned leader with more than 20 years of experience in the global pharma industry and part of DKSH since 2022 has been appointed as the new head of the business unit following Bijay Singh's planned transition into retirement. Under this new leadership, the business unit will continue to focus on higher-value segments and services. We will increase the share of commercial outsourcing while maintaining a strong focus on our own brands business. Moving to the Business Unit Consumer Goods. Business Unit Consumer Goods achieved net sales growth of 1.2%, with a marked acceleration of 2.8% in the second half of 2025. This growth was driven by strong performance in Malaysia, Vietnam and Singapore, alongside improved business development, especially in higher-margin business with new clients such as Nestle and Del Monte. Core EBIT increased to CHF 89.7 million, reflecting a growth rate of 5.4% and resulting in an approximately 10 basis point margin expansion. While core EBIT declined by 4.3% in the first half of 2025 growth recovered strongly in the second half. In the past 6 months, we achieved core EBIT growth of 14% and a core EBIT margin of 3%, reflecting improved earnings momentum and operational leverage. The exit of our business in Indonesia as well as the acquisition of Zircon-Swis Fine Foods in Singapore, which delivered performance ahead of the business plan further supported those results. In our Business Unit Performance Materials, net sales grew by 1.4% to CHF 1.4 billion. The Asia Pacific region, which accounts for around 60% of the business unit net sales delivered the strongest performance with growth of 5.5%, demonstrating a clear outperformance in an overall declining market. The resilient performance of the business unit was reinforced by strong business development with key clients such as Synthomer, Kronos, Polygal alongside 3 M&A acquisitions and a very strong pricing discipline supported by gross margin expansion. Core EBIT increased by 1.9%, with the core EBIT margin improving to 8.2%. The core EBITA reached CHF 120.4 million driving the core EBITA margin to 8.9%. Looking ahead to 2026, streamlined leadership with Natale Capri as the sole head of the business unit, cost optimization initiatives and already signed M&A transaction will provide additional growth momentum in 2026. Last but not least, let us focus on our business unit technology. Against the macroeconomic backdrop characterized by short-term uncertainty and delayed investment decisions, the business unit delivered resilient results around 2024 levels. The business unit further focused its portfolio. We completed 5 strategic acquisitions within the Scientific Solutions segment. The share of our business line, semiconductor and electronics increased highlighted by the integration of CLMO in Malaysia and Taiwan, while the business line precision machinery also grew, driven by the strong performance with key clients. We also divested our cable business in Australia and Taiwan, focused more on consumables and services, and it's achieved very strong digital sales growth. In 2026, the business unit will continue to capitalize on consolidation opportunities in Asia Pacific and other regions. With a promising business development pipeline, the business unit is well positioned for a stronger year ahead. Now I hand over to Ido who will guide you through our financial results in more detail. Thank you very much.
Ido Wallach: Thank you, Stefan. Thank you, Till. I would like to extend my warm welcome to all of you also from my side, especially for those of you who are able to join us today. I know that your time is valuable, and thank you for spending it with us. I am very pleased, as Stefan was to share more details about our 2025 results. As always, to best reflect the comparability of our operating performance, I will also focus on our results at constant exchange rates. The global economic environment in 2025 was marked by heightened uncertainty, particularly in the first half of the year. Against this backdrop, we are particularly pleased to have once again demonstrated the resilience of our business model and our ability to navigate challenging conditions. We have proven this during the pandemic shutdowns in the postpandemic inflationary environment, and we confirm it once more throughout 2025, as reflected in our key financial metrics. Net sales growth amounted to 2.9% at constant exchange rates. Core EBIT increased by more than twice the rate of net sales at 6.7%. Core EBIT margin increase of 0.1 percentage points to 3.2%. This represents the fifth consecutive year of core EBIT margin expansion. Core profit after tax stood at CHF 226.4 million, an increase of 3.3% at constant exchange rates. Building on our asset-light business model, we generated CHF 215.5 million in free cash flow. This represents a cash conversion of 95.2%, the sixth consecutive year above our target of at least 90%. To sum up this section, we have once again delivered as predicted, top and bottom line growth, margin expansion and substantial cash generation. Let us now examine the composition of our net sales and core EBIT development in more detail. Organic net sales growth reached 2.5% marking growth acceleration in the second half. The step up from 2.1% in the first half to 3.6% in the second half was particularly evident in business units health care and consumer goods. M&A contributed 0.4% to our growth. Combining organic and M&A, our net sales growth at constant exchange rates totaled 2.9%. The appreciation of the Swiss franc negatively affected net sales by 3.1%. This figure however is slightly smaller than 3.8% negative impact recorded in 2024. Let us continue with the development of our core EBIT. We are pleased with our continued core EBIT growth. We grew our core EBIT organically by 5%, twice the rate of our organic net sales growth and driven by our intentional focus on high-margin businesses, cost efficiencies and the scalability of our business model. M&A added 1.7% to core EBIT growth, also ahead of its contribution to top line growth, and validation of our strategy to acquire higher-margin businesses. All business units contributed to core EBIT expansion throughout M&A, and we are confident that profit contribution for M&A in 2026 will exceed that of 2025. Net sales growth, combined with continued strong focus on value-added services, operational excellence and resource optimization delivered an overall core EBIT margin improvement of 0.1 percentage points. Similarly to net sales, the translational FX had a meaningful and negative impact on our core EBIT amounting to minus 5%. The investment materials that we published on our website today include details of the items that we consider nonoperational of a one-off nature or in short, noncore. The main items that fall into this category in 2025, our restructuring cost of $7 million, onetime project cost of CHF 3.9 million and disposal of trademark licenses to the tune of CHF 1.8 million. To wrap up the core EBIT section, it stood at CHF 349 million, representing another landmark achievement in the 160 years history of DKSH. The sustained long-term effects of our diligent strategy execution, the attractiveness of the business we're in and the resilience of our business model become very evident when we review performance metrics over a 5-year period. We successfully and consistently convert our operational achievements into financial value creation for business growth, cost controls and return on invested capital. Since 2021 in constant exchange rates, our net sales increased by a compound annual growth rate of 4.2%. This is higher than the average annual weighted GDP of our markets. Our core EBIT rose at an even faster upward trajectory of 11.6% CAGR. Consequently, our core conversion margin defined as core EBIT as a percent of gross profit increased sequentially. Having exceeded the 20% mark in 2024, we lifted by further 70 basis points to 21.4% in 2025. Furthermore, our core EBIT margin followed a similar upward trend. The 3.2% core EBIT margin in 2025 correspond to a total of 60 basis points margin that we delivered sequentially over the last 5 years. I would also like to highlight to you today the significant improvements that we have achieved over the past 5 years in the area of logistics and distribution. By diligently focusing on operational excellence and leveraging digital tools, including AI technologies, we decreased our logistics and distribution costs by around CHF 35 million, thereby supporting our core EBIT margin by 30 basis points over the past 5 years. A key source of our resilience and agility to respond to ever-changing market conditions lies in our low-risk asset-light business model. We operate primarily with leased offices, lease distribution centers and leased transport fleets. This becomes apparent when looking at our capital expenditure. It's still between 0.3% and 0.5% of net sales across the last 5 comparative periods, with a very lean level of 0.3% maintained over the last 3 years. Building on our ongoing efforts to drive efficiencies across the organization, we are proud to report that we optimize our working capital even further in this reported period, matching the 8.6% of annual sales recorded 2 years ago. Subsequently, over the same period, we delivered constant and high free cash flow, exceeding our objective of 90% conversion in each one of the last 5 years. To sum up, our year-by-year results demonstrate once again the high quality and predictability of our earnings, sustainable in nature, repeatable in execution, and mirrored by strong cash generation. Let us now move on to our balance sheet. Building on the financial performance achieved in 2024, we further enhanced the quality of our balance sheet and returns in 2025. Core return on equity increased by 30 basis points year-over-year to 12.4%, reflecting stronger profitability and very disciplined capital allocation. We continue to operate with a positive net cash position supported by an efficient and disciplined deployment of liquidity. At the same time, we maintained a high core RONOC close to 20% evidencing our sustained focus on value creation and capital efficiency. We operate a low-risk asset-light business model that drives a high and consistent free cash flow for our capital allocation. In 2025, we funded 9 acquisitions while distributing a higher ordinary dividend to our shareholders, all with existing cash. 2025 was a 12th consecutive year of progressively higher ordinary dividend. We also reduced our gross debt position by almost CHF 50 million, which resulted in more than CHF 4 million savings on interest expenses in 2025. With an improved equity ratio of a 1 full percentage point to 33.1%, we maintained a significant leverage headroom to grow our platform through industry consolidation. As we already shared in the past, we continue to carefully assess deals and only acquire if we find them value accretive, scalable and available for a reasonable price. Let me also provide you with some additional financial indications before we return to Stefan to elaborate on future prospects. In terms of M&A, we estimate that our recent acquisitions will contribute around 0.8% to net sales in 2026. This is based on acquisitions which we have closed until now. We expect more deals to materialize in 2026 and naturally, those will provide further growth upside. While the currency development remains volatile, we expect a slight negative FX translation impact, assuming December rates prevail for the remainder of the year. Tax rate, our 28.7% tax rate on core earnings in 2025 was at the upper end of our midrange of 27% to 29%. We continue to guide this range for 2026. Capital expenditure is expected to remain between 0.3% to 0.4% of net sales for the full year. With that, I would like to thank you again for your attention today and then over back to Stefan.
Stefan Butz: Thank you, Ido, for the comments on our financials. Our results reaffirm the robustness of our business model and reinforce our role as a reliable anchor for clients and customers even in times of change and challenges. Before we come to the outlook, I would like to comment on the changes in our Board of Directors. Andreas Keller, Member of the Board of Directors since DKSH founding in 2002 will not stand for reelection at the next AGM. Andreas Keller joined Diethelm & Co in 1976. He initiated and led the merger of the 2 Swiss trading companies Diethelm and Edward Keller in 2000 and supervised the creation of DKSH in 2002 together with Adrian, Keller and others. The Board members and all my colleagues from the Executive Committee wish him continued success in his future endeavors and delighted that he as the Chairman of the Board of Directors of the Diethelm Keller Holding, will continue to be connected to DKSH. We are all very pleased to propose Julie von Wedel-Keller as a new member of the Board of Directors. As a direct descendant of the Keller family, her election as the fifth generation would ensure continuity and stability, underlying the family's long-term commitment to DKSH. Looking ahead, we remain confident to deliver sustainable core EBIT growth and reaffirm our midterm road map. We expect core EBIT in 2026 to be higher compared to 2025. As always, this outlook assumes economic growth in Asia Pacific exchange rates to prevail at current levels and excludes any unforeseen event. Asia Pacific remains the most attractive region for global trade, highlighted by Asia's resilient growth of expected 4.6% in 2026. Recent GDP forecasts indicate strong economic growth in Asia Pacific, driven by less significant tariff impacts and Asia's pivotal role in transforming global trade. With 2/3 of the world's middle class expected to reside in Asia by 2030 and its leadership in future industries like AI, the region is well positioned to reshape global trade alliances. Strong export dynamics and intraregional trade will continue to support the economic momentum across the rapidly growing Asian economies. DKSH remains very confident in Asia Pacific's long-term potential. Supported by its resilient business model, we are well positioned to benefit from favorable long-term market industry and consolidation trends in Asia Pacific and beyond. With that, I thank you for all your attention and invite you now to address your questions in our Q&A session. Thank you very much.
Till Leisner: Thank you very much, Stefan and Ido. We will start the Q&A session, and we'll begin here in Zurich, give Gian-Marco on the first floor, the opportunity to kick it off. Thank you.
Gian Werro: Thank you. Three questions from my side, if I may. The first one is on the consumer segments. There, we can really see a trend in the change -- a change in the trend about the top line development, also the margin development. I remember from recent discussions that there was quite a bit of an issue that Western consumer companies had a problem really to diversify themselves, especially in the food business. Is this also related now to trend change that you observed maybe in APAC that those brands become more powerful again? And then the second question is on the cost optimization, interesting that you mentioned efficiency improvements with AI on the growth as well. So I would really wonder if you could quantify maybe at this point in time already from a growth perspective, what opportunities you see there to increase your revenues? And then also, of course, your improvements in the logistics costs have been impressive, I think, with the CHF 35 million that you mentioned. But on the other side, you also had some FX tailwind in this perspective, reducing your FX overall weight. So I would wonder this question by how much have your logistic costs have really reduced organically? And how much tailwind did you have from FX?
Ido Wallach: Okay. Thank you, Gian-Marco. Good to see you, and I'll start with -- because many of the questions were more on the financial side, and Stefan will chip in. On the consumer goods we -- well we serve more than Western suppliers. We have a fair bit of Japanese Asia Pacific suppliers. So it's no longer the case of just Western DKSH bringing Western goods into Asia. We have -- I think the change that you see is coming out of the strategy pivot that we announced in Capital Markets Day where we said that gradually, we'll move from better before, bigger to better and bigger business for consumer goods. We have done -- we have said that we are going to look at increasing our distribution, increasing our sales force efficiency, focus on higher premium categories. And what you see in the last 6 months is realization of the strategy. We still expect the consumers to be muted to foreseeable future. We know what's going on in the world. It's also what the big consumer goods companies are publishing so far, those that are published for this year. So perhaps not yet declaring victory, but very, very encouraged by the results that we see in the last 6 months. On the profit side, I think it's not new news because if you go back to 5 years ago or 2019, so that's 6 years ago, the consumer goods was at 1.7% margin. We are now at 2.7%. We have then launched a strategy to get to 2.5%. We've already delivered that last year at 2.6%. So I think on the EBIT side growth, that's not new news, and that we have achieved through the various savings focusing on more profitable clients and what brings me to your second question, which was logistics and distribution, which, of course, being one of our bigger business units with the one that is delivering the bigger boxes because the health care tends to be -- medicine tends to come in smaller boxes. This is where the bulk of the saving was made. It is true that the number reflects FX, but if you look at our annual reports over the last few years, you'll see that the -- unfortunately, because of the strong Swiss franc the -- in Swiss franc level, the sales are at CHF 11 billion over the last few years. And the improvement is of 30 basis points over this CHF 11 billion, which means that these are pure 35 at current exchange rate savings to our bottom line from logistics and distribution. We have done that from significantly automating and digitalizing our warehouses. We have done it for rerouting into more efficient and packing more into each truck which reduce our costs overall. And this is the main story behind those savings. I think your other question on AI was how it can translate also into revenue growth. And that's a very rich opportunity out there, which we are yet to fully capitalize.
Stefan Butz: Maybe a few remarks on that one, Gian-Marco. As you know, we are sitting on a ton of data with the hundreds and hundreds of clients. We have thousands and thousands of customers and almost millions of different SKUs. This creates a huge amount of complexity on a daily basis. If you want to optimize which products go in what stores, what are the perfect sales routes and customer visits for our thousands and thousands of sales agents. And here, clearly, AI is an opportunity to look into the data and within minutes, give recommendations how you -- how a salesperson can optimize the visits of customers, what products he or she best recommends to our clients, give recommendations in terms of pricing on shelf location, et cetera. And that is where we believe there's a significant opportunity to further accelerate our top line growth. And then on top of that, obviously, we have many internal processes which can, in an accelerated way, digitized and supported by AI at the end of the day to save manual labor. But it's too early to tell. We have now 14 pilots, which are already running within the organization and another 15 will be rolled out in Q2 and maybe in the second half of the year, we can give you further feedback in terms of potential, especially the saving potential, which could be achieved by those projects.
Michael Foeth: I am Michael Foeth, Vontobel. My first question is on the health care business and the shift towards more or higher margin businesses? If you can comment on that and where you stand in that road map. And if at one point, you should see a further acceleration here actually in the -- in that progression? And the second one, actually very much similar to what was just asked on AI. On the real results in terms of efficiency or productivity gains, if that is something that you expect to be reflected on the margin progress in future years because you're still basically obviously at the same midterm ambition there? Or if those gains are effectively then basically passed through to your customers over time, how do you expect that to play out?
Stefan Butz: Okay. Let me start with the first question regarding healthcare. I think you have seen that over the last 5 years, continuously, we were able to increase the margin in the healthcare business by 10 bps. And that is rightfully as you say, driven by a higher focus on high-margin business in the portfolio. The trend for outsourcing, full commercial outsourcing, that means that we also run the full sales and marketing function on behalf of the client is continuously increasing, and we are gaining some very strong market share and new business with our client base. A few years back, the contribution from commercial outsourcing to EBIT was 40%. Last year, it was slightly over 50%. In 2025, we moved that to 55%. And on top of that, the contribution of our own brands business is also continuously growing. So right now, we don't foresee an end. We rather believe that we can further accelerate the share of commercial outsourcing over the years to come and can confirm the midterm outlook that every year, we are accelerating the margin also in healthcare by 10 bps year-over-year.
Ido Wallach: Yes. On the AI potential for cost, revenue and ability to pass on some of the savings to our suppliers. A key component of our business is to manage complexity that our suppliers don't want to or cannot at the same economic efficiency that we can. In many of our jurisdictions in Southeast Asia, bureaucracy is still part of daily life. A lot of paperwork when we sell, buy, when you file for taxes, when you do everything, which is regularly required. So our business has a fair bit of administration of those things. And over the years, even before the AI revolution, which has just started, we have moved a lot of those repeatable tasks into our shared services center in KL. Our global IT team is based there and also the financial services are based there, where we process a big part of what is happening in the countries over there. The AI revolution offers us to make that a lot more efficient than before because we now apply all those tools and machine learning on paperwork. And we honestly -- the full potential is yet to be understood and realized but it is going to be big because by definition, this solves what human repetitive tasks are currently doing. It is probably too early for us to increase the guidance of 10 basis points per year, which has been our guidance for several years now. We have delivered this year. We have delivered the year before. We actually delivered for 5, 6 years now. And we also delivered in 3 of the business units in -- out of the 4 in 2025. So we'd like to continue with this guidance. Some of those savings, we will invest back in our business also in IT and in other elements that we would like to invest. And in the future, if we see more, we will, of course, communicate a change of that guidance.
Chiara Di Giammaria: Chiara Di Giammaria from Berenberg. I have 2 questions, if I may. The first one is on Performance Materials. So I guess, in the industry in general, one of the main concern is the Chinese competition. Can you explain how you are protected from this? And the second question is on the USD denominated sales. If you can share a split -- so how much more or less of your sales come from the USD sales?
Stefan Butz: Yes. Thank you very much. Look, if you -- very clearly, the chemical markets are being challenged now since 3 years. The difference between our setup and the setup of many of our dear competitors is that 2/3 of our business is in Asia. We have very good and very strong connections to Chinese suppliers, and we also distribute business within China. So close to 8% of our overall PM business is within China. And we are very successful in Asia across the board because we have a very broad customer base and very deep and long relationship with those customers. So we currently don't see significant challenges of Chinese player in Asia. And that was the reason why also in Asia, we were able not only in this challenging end market environment to deliver over 5% of growth. As you might have recognized, we were also able across the full globe of our operations to increase the gross margin and to increase the EBIT margin. In terms of the sales in North America, this is under 8% of the total business. But obviously, if you do the math, you will see that also in Europe and in North America, our chemical business is also being challenged. But Asia is very strong, and we expect a very solid performance also in 2026 in Asia in Performance Materials.
Ido Wallach: With regard to the share of U.S. dollar sales, it's actually very small. It's about 1% to 2%. But I would also like to add that we -- our currency risk is a translational risk. In terms of transactional, we hedge all our -- everything that we buy in non-U.S. dollars and sell in U.S. dollar, we hedge on the rate that ensures the margin that we make on the deal. So we only suffer translational, which has an impact.
Till Leisner: The next question in the room, please. For the time being, no question in the room, operator, can we please have the questions from the call.
Operator: The first question comes from Nicole Manion from UBS.
Nicole Manion: A couple for me, please. Firstly, just a follow-up on Performance Materials. Could you comment maybe on how trends developed through Q3 and Q4 and how you've seen things evolve so far in early 2026. And then the next question, could you talk a bit about the tariff environment in, I guess, in India and China within APAC, particularly on the pharma side? Anything you're sort of seeing there in terms of impacts? And then perhaps just more generally on inventory levels. It looks as though group stock turns are still 7x to 8x. But within that, can you comment on any regions or products that you think are still elevated? That would be very helpful.
Stefan Butz: Nicole, can you please repeat your second question on was that the impact of tariffs? Did I understand that correctly?
Nicole Manion: Exactly. Yes, if you could just comment on anything that you've seen particularly, I guess, in the region in India and China, maybe on the pharma side, if there's any impacts that you can call out there? And then, yes, the related question was just about inventory levels in general.
Stefan Butz: Okay. Maybe then I start with the first 2, and then Ido is commenting on the inventory. So yes, I mean, Performance Materials, it was a very rocky year 2025. I'll start with Q1 where we have seen some good developments. In Q2, we discussed it during the half year results was a complete disaster after the uncertainty being created with all the tariff discussion. Then in Q3, actually, there was a bounce back happening. So we had a very strong Q3, whereas then in Q4, there was a more normalization and the results were slightly negative across the full portfolio. Looking into 2026 and maybe a few of you have seen that there is some very light optimism coming back to the market also triggered by a report from Goldman Sachs last week. We are optimistic, especially for our Asian business in 2026. Regarding the tariffs, I would like to summarize it in a way that at the end of the day, I think everyone recognized that the impact, especially for Asia will be more limited than what was originally feared towards the end of Q2. What we do see is that the supply chains are moving slightly and there is a decoupling from China into Southeast Asia. You just have to look into the GDP growth rates in Southeast Asia for the second half of 2025 as well as the outlook for 2026 where you see there's a very strong development in Vietnam, which is out of the material economy, the fastest-growing one, where I think we can expect up to 8% GDP growth this year but also Malaysia is doing very well. Singapore is doing very well. Taiwan is forecasted to do very well in 2026. And what I would really like to highlight is also Japan. We have high expectation in terms of Japan. I think there is a giant which is being re-waked and we have seen already some good development in 2025. And I say with the political environment there, we can expect a further acceleration coming out of Japan. And yes, then I would hand over to Ido regarding the inventory level.
Ido Wallach: Nicole, just specifically on your question on the pharma business in India and China, we actually had a very solid year in those jurisdictions in this category. So we don't see the effect, as Stefan just mentioned. I did not quite get the question about the inventory. Can you please repeat it? I'm sorry that the line is not great today.
Nicole Manion: Yes. Sorry, no, I was just asking it looks as though stock turns for the group are around, I think, 7.5x. But I was just asking if there are any regions or products that you think are kind of elevated within that or anything interesting to call out on a regional or product basis, essentially, just any detail?
Ido Wallach: No, I think that overall, our inventory level is a very healthy level. And so is our working capital, as I mentioned before in our -- in my speech. There's -- if there's anything in particular to report is that it's very lean. And I think we're going to start the year with the right level of inventory and good quality inventory, meaning low level of excess or bad inventory. So we're quite pleased with the achievements there across all the business units.
Operator: The next question comes from Jon Cox from Kepler Cheuvreux.
Jon Cox: Just on consumer, just to come back to that, you're talking about encouraging results coming through in consumer in the second half. Can you just talk us through that a little bit just in terms of maybe the countries you're seeing improvement or which parts of consumer is seeing the improvement? Because obviously, the overall economy and a lot of your big markets, notably Thailand hasn't been great. And I'm just wondering if you could talk a little bit about what those improvements are a bit more specifically. And then just to come back to Performance Materials, you're talking about Asia should be pretty decent this year. I can see you're a bit loath to talk about the U.S. and Europe. Are you seeing any signs of improvement there at all. And I'm just wondering, is the weakness really in the industrial segment, and it's really about the Chinese competition. Or is it across the board and it's not just the Chinese competition, it's just businesses in general, being pretty nervous.
Ido Wallach: Thank you, Jon. I will start with the CG question. Stefan will follow on PM. I think in the same countries as Stefan mentioned before, that have been quite successful for us in both PM and Healthcare also successful in CG. These are core markets. Vietnam, Malaysia and Singapore had a particularly strong year for CG. You're right to point out that things are a little bit more lukewarm in Thailand. But I would also like to say that over the last 3 years, we have outperformed the overall GDP in Thailand. So some slowdown is something that we were going to expect in 2025. Certain categories, I think Beauty Care is coming back. Also, food and beverage are coming back. What we see is consumers are going back to brands that they can trust and value, okay? So we're not talking necessarily about higher value, lower value. But after a certain shock 2 years ago from the inflationary pressure, they're coming back to brands because they -- this is what they trust. So overall, slightly stronger consumer confidence, but it's very volatile times. I mean we cannot be overly optimistic at this stage. We are optimistic though.
Stefan Butz: Yes, Jon. I'm talking about Performance Materials. First of all, in the U.S., we see really very, very light indications of -- you might recall that our business there is primarily an industrial specialty chemical business related to the so-called K segment, which heavily goes into the housing market. There are some very soft early indications that there is actually a shortage on housing in the market and some investments are rolling into the market also in terms of renovation. So I would say maybe we see the light at the end of the tunnel, but there is still some -- there's still some tunnel right? In terms of our European business in Europe, we have a very healthy life science business across the board, which is in Europe, more resilient than the industrial business, which is further hit by the overall economic environment and the production is just diverting out of Europe, which is also an effect. I think just focusing on some Chinese materials or ingredients is a little bit shortcoming. And in that summary here, I would also like to point out that we have a very healthy client base across our portfolio from American or North American clients, European clients as well as Asian clients, which is also giving us some healthy stability. And by the way, one last comment is that within Asia, our industrial specialty chemical business was in Asia, even growing slightly faster than our Life Science business, which is underlying my statement before that there is some production is moving into Asia.
Jon Cox: Just want to just keep going. Just on the technology business, that seemed to have a pretty soft second half. And I know maybe your exposure is somewhat limited. Taiwan is doing really well. There's a lot of stuff going into AI and CapEx and that sort of stuff. Are you not really exposed to that, and that's why you're not seeing much of a pickup in that technology business?
Stefan Butz: We do have some exposure in our -- with our semiconductor business into those markets. not only in Taiwan, but also in Singapore and Malaysia, and that is where we still have seen some business growth but there was just a huge amount of uncertainty in the technology sector in 2025 and many investments and orders were delayed and canceled. Having said that, if we look in our pipeline of 2026, what we have signed up for 2026 and the business, which is moving from '25 into '26 because of the delays or the pushover plus some additional business coming out of the investments in data centers, even in data centers in Thailand is giving us the optimism that in our presentation here, we talk about a strong rebound of our technology business in '26. But '25 was, yes, was not a great year for them.
Till Leisner: Thank you for the questions, Jon. Operator, is there any further question in the call?
Operator: So far, there are no further questions from the phone.
Till Leisner: And an opportunity here in Zurich. Gian-Marco has a few more questions.
Gian Werro: Gian-Marco, Zürcher. I'll just take the opportunity to ask 2 more questions, if I may. First one is you mentioned for the Technology business, some promising business development pipeline for a better 2026. So can you elaborate a little bit on that, that would be interesting. And then your own Healthcare business, I assume according to your slides that you kept the EBIT margin there quite on a high level, over 20%. And if I assume also that this grew by around 5% or so, then, however, this would mean over CHF 2.5 million additional EBIT for Healthcare. Is that a fair assumption? And why then despite the strong performance that you had in Healthcare was the EBIT growth in Healthcare not stronger?
Stefan Butz: Okay. Let me start with technology and then Ido can drill down into the EBIT margin analysis. In technology, as I was just saying before, there are 2 things or a few things happening. One is we have seen some projects, some investments, which were being delayed into 2026. So that is obviously giving us some good backlog for this year. Secondly, especially in scientific instrumentation, where many of our customers were a little bit cautious we have some good order intake for 2026. And then last but not least, as mentioned already in the question from Jon, there is significant investments also going into data centers where we supply, obviously, not the core business, but some equipment down to even generators and whatnot, where significant investments are going to happen in '26. And if you put those 3 together that is building the strong backlog and pipeline we have for '26, giving us the confidence that we say this business is bouncing back material from the, yes, disappointing results in 2025.
Ido Wallach: On the own brands in Healthcare, first of all, we always welcome your questions, so you can do even more than 2. We are being a little bit victim of our success also in the other categories because we had a very good year in commercial services and full agency in healthcare that are growing proportionately as much as own brand. Hence, the overall mix did not change. In specific own brands, we had some difficulties. Myanmar had been traditionally a very strong market for us for own brands, and that is a very soft market at the moment for geopolitical reasons that I'm sure you're aware. So we have lost some business there. The rest of the own brand portfolio has performed quite well, but that's why it explains it didn't grow overall from the mix. The math that you made is correct. If we can grow that at the proportion that you mentioned, we will grow disproportionately our EBIT. And yes, those are fine jewels that we are constantly searching to buy and expand. And when we have the opportunity, we do that. We did it a couple of years ago with one of our acquisitions. And hopefully, we'll find something in 2026.
Till Leisner: Thank you, Gian-Marco. Any more questions in the room? Seems not the case. Then from our side, big thank you for all of the participants today here in Zurich, but also in the conference call. Wishing you all a good rest of the day, and we are all available also here in Zurich for questions afterwards. There's a little bit of catering. So please stay with us, and we are happy to engage. Thank you so much.